Operator: Thank you, everyone, and welcome to the Beyond Meat, Inc. 2025 Third Quarter Conference Call. [Operator Instructions]. Please note this call is being recorded, [Operator Instructions]. It is now my pleasure to turn today's conference over to Paul Sheppard, Vice President of FP&A and Investor Relations.
Paul Sheppard: Thank you. Hello, everyone, and thank you for your participation in today's call. Joining me are Ethan Brown, Founder, President and Chief Executive Officer; and Lubi Kutua, Chief Financial Officer and Treasurer. By now, everyone should have access to our third quarter 2025 earnings press release filed yesterday after market close. This document is available in the Investor Relations section of Beyond Meat's website at www.beyondmeat.com. Before we begin, please note that all the information presented today is unaudited and that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Forward-looking statements in our earnings release, along with the comments on this call are made only as of today and will not be updated as actual events unfold. We refer you to yesterday's press release, our quarterly report on Form 10-Q for the quarter ended September 27, 2025, to be filed with the SEC and our annual report on Form 10-K for the fiscal year ended December 31, 2024, along with other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements today. Please also note that on today's call, management may reference adjusted EBITDA, adjusted loss from operations and adjusted net loss which are non-GAAP financial measures. While we believe these non-GAAP financial measures provide useful information for investors, any reference to this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to yesterday's press release for a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures. And with that, I would now like to turn the call over to Ethan Brown.
Ethan Brown: Thank you, Paul, and good afternoon, everyone. First and foremost, I would like to recognize all veterans on this important day of observance, including those veterans we are fortunate enough to have on our team at Beyond. You exemplify the values of putting others in country first. And we are deeply appreciative of your service, sacrifice, encourage. We are indebted to each of you, and that is top of mind today. I will now turn to the business and cover 3 main subject areas. First, I will seek to put our recent balance sheet activities in the appropriate context. Second, I will briefly review the performance headlines from our third quarter of 2025, results that point to a business that remains in turnaround mode. Third, I will outline the key operational and top line initiatives we are taking in pursuit of this turnaround and return to growth. Though a protracted process, our recently announced transaction with our bondholders was sweeping in its scope and together with the nearly $150 million in cash we raised through the completion of our existing ATM program represents a fundamental reset of our balance sheet. Specifically, we reduced debt levels by approximately $900 million, nearly 75% of our total leverage and put in place a path to potentially convert another $209 million for a total reduction of over 90% and in total outstanding debt for consideration of any PIK interest. Further, the transaction not only significantly reduced leverage levels but extended the maturity of most of our overall debt profile. We view this as an important resetting of our balance sheet and one that supports in many ways, a reset of our business as we target sustainable operations and renewed growth. Clearly, we were disappointed by this quarter's results, which I will now summarize before outlining with as much specificity as this forum permits our path forward. Net revenue of $70.2 million came in within our guided range, but nevertheless, represents a 13% (sic) [13.3%] decline year-over-year as we faced ongoing category challenges. This quarterly net revenue declined coupled with a less favorable product mix and higher trade promotion spending versus the prior year put pressure on gross margin even as conversion costs fell on a year-over-year basis. Lower volumes also reduced fixed cost absorption, and we continue to experience a transitory accounting drag in the form of $1.7 million in noncash charges related to the suspension of our China operational activities. Accordingly, gross margin landed at 10.3% in the third quarter, down from 17.7% in the year ago period. Operating expenses, excluding a large noncash impairment charge relating to certain long-lived assets improved on both a year-over-year and sequential basis. I should note that operating expense in the third quarter included substantial nonroutine expenses, a future that makes our cost cutting appear more incremental than our underlying progress would suggest. Highly conscious of the opportunity or substantial delevering and increased liquidity provides, we are intensely focused on the 5 following steps towards sustainable operations and return to growth. One, we continue to address misinformation surrounding our plant-based needs. As many of you are aware, as industrial livestock and pharmaceutical interest rally around scare tactics and misinformation to confuse consumers, we are driving the health profile of our products to greater heights so as to reduce the disingenuous to be absurd. The results of our multiyear efforts is a growing range of products, such as the Beyond Pork platform and Beyond Steak that deliver on taste with ingredient and nutritional profiles and have earned various accreditations and recognitions in the clean label project, American Diabetes Association and American Heart Association and enthusiastic support from an impressive assembly of leading medical nutrition experts. More of this journey is shared in our short approximately 9-minute documentary on YouTube planting change and this defining commitment is made clear in product advertising that highlights impressive ratios of protein to saturated fat, cholesterol and calories together with great taste and clean, simple, limited ingredients. It is also made clear in our innovation road map, where new products are designed to reinforce this message. Consider, for example, are Beyond chicken pieces, which although still gaining national retail distribution, has achieved considerable taste and nutrition accolades while delivering 21 grams of protein per serving with 0 cholesterol and less than 1 gram of saturated fat from heart healthy avocado oil, all in just 150 calories. And we've recently opened Beyond Test Kitchen, where consumers get the early opportunity to buy our latest innovation before hits supermarket shelves. The first two innovations on this direct-to-consumer platform purposely exemplify our commitment delivering taste and strong macro nutrient ratios with clean, simple and limited ingredients. One is Beyond Steak Filet, which provides 28 grams of protein with 0 cholesterol, and only 1 gram of saturated fat from heart-healthy avocado oil, all with only 230 calories per serving. The other is the Beyond Ground platform. Simply put, Beyond Ground is a center-of-the-plate protein that confidently stands on its own. It's not trying to mimic any species of animal, say a cow, chicken or pig and is consistent with our increasing emphasis on using Beyond versus Beyond Meat as our primary brand identifier. It is made with only 4 ingredients: water, fava bean protein, potato protein and psyllium husk, and each serving delivers an impressive 27 grams of protein and 4 grams of fiber, all in just 140 calories with no cholesterol, 0 saturated fat and no edit oils. The original design is a blind cannabis to be seasoned as a consumer would like. And to our delight, we are watching early adopters to develop a host of recipes around it. For those who prefer a seasoned variety, -- we're also selling a Tuscan Tomato, a Korean barbecue and Chipotle Pineapple version. Two, we are building back distribution in U.S. retail and U.S. foodservice. In U.S. retail, we are successfully rebuilding distribution and seeking to consolidate our brand where possible into brand blocks. As you will recall, over the last 18 to 24 months, we've seen a substantial migration of our products from the refrigerated meat aisle to the frozen meat aisle and frozen meat alternative aisle. Though we believe that ultimately plant and animal protein should be offered to consumers in equally prominent locations in the supermarket and ideally in the same section to facilitate convenience and choice, the unplanned and at times chaotic transition replete with long periods without product availability at all, followed by consumers' lack of awareness regarding new placement has been damaging to our business. Accordingly, we are now encouraging the consolidation of our brand, where possible, within brand blocks in the frozen section of supermarkets to reduce what can seem like a game of Hide-and-Go-Seek for the consumer. As we rebuild our presence in U.S. retail, we are prioritizing consolidated offerings at high-impact chains to drive results. For example, in October, we announced plans with Walmart to increase availability of select products at over 2,000 stores nationwide, including our new Beyond Burger 6-Pack, which is designed to offer consumers value during a sustained period of economic stress. In U.S. Foodservice, we are adjusting our go-to-market strategy to capture a higher percentage of operators whose consumer base assigns value to our award-winning non-GMO, plant-based meats made from simple and clean ingredients. Though we expect a renewal of interest in plant-based meats in the broader restaurant segment in the United States, particularly as the price of animal protein continues to rise and we start to achieve the necessary scale to consistently underprice it. For the time being, we see room for growth within institutions, restaurant chains and other establishments that are more directly and explicitly focused on health and clean ingredients. Accordingly, we are increasing our investments against these specific targets. Three, through our transformation office and program, we are implementing further actions to reduce and reset our operating expenses. We continue to seek to more fundamentally and more quickly reset our operating base. And as you recall, we have enlisted the restructuring support of AlixPartners, including our appointment of John Boken, as Chief Transformation Officer to accelerate the work of our transformation office. We are deep into this process and are committed to positioning the business for a more fundamental resizing of operating expense. Further, this underlying series of actions relating to our base operating expense is joined, by what we believe will be a reduction in certain non-routine and non-recurring spend that burden our operating expense in 2025. Four, through our transformation office and program, we are taking additional action to expand margin in the currently constrained demand environment. We have and will continue to take steps to exit certain unprofitable product lines while we configure and others are making targeted investments in our facilities, including a continuous production line for certain popular but currently lower margin products and are doing extensive RFP work to drive competition and lower pricing within our supply chain. As with operating expense, we expect this underlying margin progress to be accompanied by the retirement of certain drags previously mentioned, such as the charge for China-related depreciation and remain committed to the goal of laddering margins back to 30% plus. Five, we are considering certain strategic initiatives that, if successful, could help accelerate our return to growth. The path articulated above addresses the core challenges our business faces. The need to counter misinformation and change product narrative around our products. Reestablished distribution and improve product availability in the U.S. retail and foodservice markets and drive significant operating expense reduction and margin expansion through our transformation office and program. These, along with other similar efforts are designed to support the achievement of EBITDA positive operations as soon as possible. Even in an environment where demand remains subdued for the near term. We do, however, see the potential for growth outside of these actions, when we take a more comprehensive view of the Beyond brand technology across our U.S. and European markets, and we will be exploring this in quarters to come. It would be too early to provide further information today for a host of reasons. And as such, I'll leave the subject now for future updates. In closing, as those of you who have followed us closely know well, over the last decade or so, we've lived at the forefront of the rise and precipitous destabilization of a nascent industry with a deeply disruptive potential. All too typical of the heavy turbulence experienced by a company so closely wedded to emerging innovation, we've, as they say, been through it. Along this journey, I have sought to characterize our response as harnessing adversity to grow stronger, better and more capable of achieving our long-term vision. More than any time over the last 6-plus years of being a public company, we have the opportunity today to reset our business and service to sustainable growth on behalf of all shareholders and on behalf of our mission. We are [buoyed by] and I am personally moved by the tremendous support we have seen from retail investors from throughout the United States, all the way to Korea and have great enthusiasm for winning on their behalf. We are acutely aware of having more challenges to overcome, more misinformation to counter, more cost to cut and more margin to expand. We've been in our turnaround phase for too long. And moving forward, you will not simply see more of the same from us. There is plenty of fight left and beyond an enormous enthusiasm to use this reset to hasten our future as a global protein company of tomorrow. With that, I will now turn the call over to Lubi.
Lubi Kutua: Thank you, Ethan, and good afternoon, everyone. I'll begin by reviewing our financial results for the quarter before providing some brief remarks on our outlook for the fourth quarter. And finally, commenting on the significant balance sheet initiatives we completed subsequent to the end of our third quarter. Total net revenues decreased 13.3% to $70.2 million in the third quarter of 2025 and compared to $81 million in the year ago period. The decrease in net revenues was primarily driven by a 10.3% decrease in the volume of products sold and a 3.3% decrease in net revenue per pound. The year-over-year weakness in volume of products sold continues to reflect general softness in the plant-based meat category as well as select distribution losses and to a lesser extent, impacts from competitive activity. While category dynamics in our key international markets remain more favorable than the U.S., two of our top 3 markets in the EU have also been experiencing year-over-year declines according to consumer takeaway data. This underscores the current reach of the soft macroeconomic environment in plant-based meat that we continue to navigate. With respect to pricing, the year-over-year decrease in net revenue per pound was primarily driven by higher trade discounts, reflecting in part reduced promotional efficiency as well as changes in product sales mix, partially offset by favorable changes in foreign currency exchange rates. Taking a closer look by channel, U.S. retail net revenues decreased 18.4% to $28.5 million in the third quarter of 2025 compared to $35 million in the year ago period. The decrease in net revenues was primarily driven by a 12.6% decrease in volume of products sold, mainly reflecting weak category demand and reduced points of distribution and a 6.6% decrease in net revenue per pound. Net revenue per pound was negatively impacted by higher trade discounts and price decreases of certain of our products, partially offset by favorable changes in product sales mix. In our U.S. foodservice channel, net revenues decreased 27.3% to $10.5 million in the third quarter of 2025 compared to $14.5 million in the year ago period. The decrease in net revenues was primarily driven by a 27.1% decrease in volume of products sold. This decrease in volume was primarily driven by weak category demand and the lapping of a limited time offering of our chicken products at a QSR customer in the year ago period. Turning to international. In international retail, net revenues decreased 4.6% to $15.8 million in the third quarter of 2025 compared to $16.6 million in the year ago period. The decrease in net revenues was primarily driven by a 12.5% decrease in volume of products sold, partially offset by a 9.1% increase in net revenue per pound. The decrease in volume was primarily driven by reduced sales of our burger, dinner sausage and chicken products, mainly in Europe, where, as I mentioned earlier, two of our top 3 markets are also experiencing softer [Technical Difficulty]. The year-over-year increase in net revenue per pound in international retail was primarily driven by favorable changes in foreign currency exchange rates, price increases of certain of our products and changes in product sales mix partially offset by higher trade discounts. Finally, International Foodservice net revenues increased 2.4% (sic) [2.3%] to $15.3 million in the third quarter of 2025 and compared to $15 million in the year ago period. The increase in net revenues was primarily driven by a 4.4% increase in volume of products sold, reflecting higher sales of chicken products to a QSR customer partially offset by reduced burger sales to certain QSR customers. Net revenue per pound decreased 2% compared to the year ago period, primarily driven by changes in product sales mix, partially offset by favorable changes in foreign currency exchange rates and reduced trade discounts. Moving down the P&L. Gross profit in the third quarter was $7.2 million or gross margin of 10.3% compared to gross profit of $14.3 million. or gross margin of 17.7% in the year-ago period. Gross profit and gross margin in the third quarter of 2025 included $1.7 million in expenses related to the suspension and substantial cessation of our operational activities in China. More generally, our gross margin also continues to be weighed down by lower volume. Which is negatively impacting fixed cost absorption within our manufacturing facilities and more recently by higher trade discounts as a percentage of gross revenues. While our total cost of goods sold per pound increased on a year-over-year basis, primarily reflecting higher materials costs and inventory provision, we made positive progress on reducing our conversion and logistics costs. In this regard and through various initiatives under our transformation office, we are pursuing additional investments, which we expect to further benefit our conversion costs beginning in the early part of next year, and we are optimizing our supply chain to bring additional savings out of our logistics costs in the U.S. Lastly, as Ethan mentioned, we have also begun extensive RFP work to pursue potential savings on our materials costs. Now turning to operating expenses. OpEx for the third quarter of 2025 was $119.6 million, which included $77.4 million in non-cash impairment charges related to certain of our long-lived assets. With regard to the impairment in accordance with accounting guidance under ASC 360, when certain triggering events or combination of events have occurred we are required to review our long-lived assets for potential impairment. Given our lower-than-expected performance through the first 3 quarters of 2025, a our view that the ongoing softness in the plant-based meat category is likely to persist longer than previously anticipated and the decrease in our stock price during the quarter we determined that triggering events had occurred and performed a quantitative assessment that concluded that an impairment existed as of September 27, 2025. The total impairment amount of $77.4 million was recorded as a loss on our income statement and allocated to PP&E, operating lease ROU assets and prepaid lease costs on our balance sheet. In addition to the impairment charge, operating expenses in the third quarter of 2025 also included certain nonroutine items as summarized in our earnings press release, totaling approximately $2.1 million. Excluding these items and the impairment charge, operating expenses in the third quarter of 2025 decreased as compared to the year ago period primarily driven by reduced marketing expenses and reduced salaries and related expenses for non-production staff. Below the line, total other income net was $1.6 million in the third quarter of 2025 compared to total other income net of $4.4 million in the year-ago period. Primarily due to a reduction in net realized and unrealized foreign currency transaction gains, and an increase in interest expense related to finance leases and our delayed draw term loan facility, partially offset by a benefit from the remeasurement of warrant liability as well as interest income. Overall, net loss inclusive of the aforementioned impairment charge was $110.7 million in the third quarter of 2025 compared to $26.6 million in the year-ago period. Net loss per common share was $1.44 in the third quarter of 2025 compared to net loss per common share of $0.41 in the year ago period. Adjusted EBITDA was a loss of $21.6 million or -30.8% of net revenues in the third quarter of 2025 compared to an adjusted EBITDA loss of $19.8 million or -24.4% of net revenues in the year ago period. Turning to our balance sheet and cash flow highlights. Our cash and cash equivalents balance, including restricted cash, was $131.1 million, and total outstanding debt was approximately $1.2 billion as of September 27, 2025. Net cash used in operating activities was $98.1 million in the 9 months ended September 27, 2025 compared to $69.9 million in the year ago period. While this increased rate of cash used from operating activities partly reflects the negative impact of reduced sales and gross profit, among other things, it is also worth noting that several nonroutine factors, including those related to our balance sheet initiatives and certain nonroutine legal expenses have also meaningfully added to cash use this year. Capital expenditures totaled $9.3 million in the 9 months ended September 27, 2025 compared to $4.5 million in the year-ago period. Largely reflecting increased investments in manufacturing capabilities intended to improve our production efficiency and expand our gross margin. Net cash provided by financing activities was $87.8 million in the 9 months ended September 27, 2025, compared to net cash used in financing activities of $1.3 million in the year-ago period. The year-over-year increase in net cash provided by financing activities primarily reflects draws in the aggregate amount of $100 million from our Delayed Draw Term Loan Facility, partially offset by related debt issuance costs. I'll now touch briefly on our outlook for the balance of the year. As I indicated earlier in my remarks, we continue to navigate a soft and uncertain macroeconomic environment across several of our key geographies. Under these circumstances, it is difficult to forecast our operating results beyond the limited horizon, and we are, therefore, continuing to provide only limited guidance around our near-term revenue expectations. Specifically, in the fourth quarter of 2025, we expect net revenues to be in the range of $60 million to $65 million reflecting, among other things, ongoing demand weakness in the plant-based meat category and the anticipated impact from distribution losses at certain QSR customers. Before closing, I'll take a moment to discuss some key events with respect to our balance sheet that occurred subsequent to the end of our third quarter. On October 29, we announced the final tender results of our previously communicated debt exchange offer. Successfully tendered notes in connection with the exchange offer represented just over 97% (sic) [97.44%] of the aggregate outstanding principal amount of our 2027 convertible notes. Said differently, all but $29.5 million (sic) [$29.459 million] of the original $1.15 billion aggregate principal amount of the 2027 convertible notes were successfully tendered in the exchange offer. We believe this is a significant outcome that goes a long way in strengthening our company's balance sheet for the long term by substantially reducing our total debt outstanding and simultaneously extending the maturity of the vast majority of our remaining debt obligations. Following the final settlement date on October 30 as part of the exchange offer, a total of approximately $209.7 (sic) [$209.721] million in aggregate principal amount of new second lien convertible notes and approximately 318 million new shares of common stock have been issued to previous holders of the 2027 convertible notes who participated in the exchange offer. In addition, and separate from the exchange offer, subsequent to the end of the third quarter, we sold approximately [Technical Difficulty] of common stock under our ATM program, generating approximately $148.7 million in proceeds net of selling commissions. As with the exchange offer, we believe this incremental capital infusion goes a long way in strengthening our balance sheet for the coming quarters and further supports our efforts to execute our turnaround plan. Notwithstanding these developments, we intend to continue to pursue our near-term objectives with urgency and discipline as we target the achievement of sustainable operations as quickly as possible. And with that, I'll turn the call over to the operator to open it up for your questions. Thank you.
Operator: [Operator Instructions]. Our first question comes from Ben Theurer with Barclays.
Benjamin Theurer: Thanks for the detailed prepared remarks and congrats on some of the refinancing stuff. Two quick ones I had for you. So number one, Ethan, you talked about your path to get back to a gross profit margin of 30% plus, which is clearly something you used to have in the past and many years ago, even with the sales level that's comparable to what we have right now, you were able to achieve that. So just to help us maybe understand what's currently holding you back of being as profitable as you may have been back in 2019 when sales was just around that high $200 million, close to $300 million mark, but gross margin was actually in the low 30s. So that would be my first question, and then I have a quick one for Lubi on the financing piece.
Ethan Brown: Great. And good to hear from you, and thanks very much for the question. So I think if you look at our history on margin, first of all, I appreciate you recognizing that this is not something that is just only future oriented. We've had healthy margins in the past. And I think the main drag that you see throughout the P&L is the lower top line. We built a system that was for much higher revenue than we're currently facing. And so we've been going through the process of trying to scale that back and deal with things like lower overhead absorption and things of that nature. But I think it's really almost a tale of two different trends. One is we have this lower top line, which is reverting throughout the P&L and there's some pressure on margin, as a result of mix. Some of our more popular products recently have been lower-margin items. We have a little bit of higher material costs, and we had to kind of [knick-knacks], like the China depreciation charge I referenced among others. So those things are weighing down overall margin, and it's just a question of calibrating the production capacity to the current level of demand. And I think the biggest issue we have. And then second, there's a lot of underlying progress that's going on around our operations. And you can see that now this quarter, for example, in conversion costs, they're lower on a year-over-year basis. But a lot of the progress is on a slightly longer time frame, and I expect it to start showing up in '26. And so I'm actually pretty confident that we can make a substantial step change in our margin over the next several quarters. And so if you look at -- if you look at the implementation of the continuous production lines that we're putting in for some of those lower-margin products that are inhibiting the -- that are leading to some of the mix challenges we're having. Those should be going in shortly. So we expect to see improvements from there. We're looking at the RFP work that's going on now to pay dividends in '26. And some of that's actually underway now. We've seen some good savings with some key ingredients. And of course, we'll continue to optimize our portfolio. So I think the conservative outcome of all of this is a healthy margin at much lower volume. But the optimistic outcome of all of this really is it growth resumes, and we put forward some really nice margins, right? And so if we can continue to drive this work, we'll at least get to healthy margins with a lower top line. But if we can get back to growth, all of this pays dividends that are, of course, much larger. So I hope that was instructive.
Benjamin Theurer: Okay. And then Lubi one for you. Can you help us maybe reconcile at the end of October or whatever a few days ago, what your cash balance looks like? Because obviously, at the end of September, it was about call it, $120 million, excluding the restricted piece of it. So just to understand some of the ATM transactions plus some of that convert, has there been anything that's helped to get the cash balance up a little bit higher, just in light of the quarterly cash burn still somewhat relevant. So to understand a little bit like what's the level of cash right now?
Lubi Kutua: Yes. So the only thing we can really comment on that happened subsequent to the end of the quarter is what I discussed in my prepared remarks related to the ATM. There were -- obviously, we've detailed in some of our other disclosures around the exchange offer that there is a certain amount of transaction fees that are associated with that. But we're not prepared at this point to quantify exactly how much that was. But I think if you look at the cash balance, where we ended the quarter, the third quarter and then you add in the incremental proceeds from the from the ATM, you would obviously have to make some assumptions about some transaction fees paid as well as just kind of the ongoing rate of cash consumption of the business to get to the number that you're looking for. But we can't, at this point, provide that specific information.
Ethan Brown: Just on the quarterly cash consumption, it's obvious something we're very, very focused on. We brought it down to much lower levels in the past. And I think you'll -- you should expect us to return to that. I mean we're obviously extremely focused on this EBITDA positive goal. And a lot of the transformation work that's going on is designed to really minimize cash use and ultimately turn it into cash generation. But I think that this year has been characterized by a lot of non-recurring and non-routine expense. I mean we've had the transaction going on, we've had this arbitration, which we were successful and we won that, which was a nice outcome given that the facts there. So a lot of that hopefully will be burning off and we can get to...
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ethan Brown for any closing remarks.
Ethan Brown: Thank you, and thanks, folks, for joining. I think given that we didn't have much Q&A, I might just spend a minute reinforcing some of the comments that I made during the prepared remarks. One of the main things that we need to keep doing to return to growth is to change the narrative around our products and around the brand in general. And you've heard me talk about this many times, there is a very significant set of misinformation out there that slowly, I think we are making progress toward and helping to erode. But this is the key factor. We have spent so much time working on the health benefits of our products and the Beyond Pork platform and subsequent products that are just getting cleaner and cleaner and healthier and healthier. And I think that's starting to pay some dividends with a certain set of consumers who are able to look through a lot of misinformation that's going on and make decisions for themselves. And so we're continuing to encourage folks to do that. The most recent products that we've launched around Beyond Ground and around Beyond Steak really speak to that with the Beyond Ground product being only for ingredients and to be on Steak, having a really terrific macronutrient profile 28 protein, less than 1 gram of saturated fat. That's saturated fat coming from avocado oil. But the main point is that the more we can get consumers to see the very strong health benefits of our products, the more we can get back into growth mode. I think price is extremely important, and you see us focused on that. In fact, in Europe, we are providing at the same price to its animal protein equivalent to a very large customer, one of our products. We are working very much on driving the price toward parity with animal protein, but here in the U.S., it's really around countering this misinformation campaign. That's why I continue to come back to the work we're doing with Stanford, I continue to point out the support of the American Heart Association, American Diabetes Associations and so on and so forth. So that's the work that we're doing on fixed narrative. You'll see us continue to reinforce that with marketing. You'll see us continue to reinforce that with the new products that we put on the market. And you'll continue to see us put out information like planting change and other pieces that help the consumers see through some of the misinformation. In terms of innovation, I mentioned towards the end of my prepared remarks that we're doing two things, I think, that should be of interest and hopefully point people in the direction that we're headed. One is the increasing emphasis on the word Beyond versus Beyond Meat as we go forward. And that's really around broadening the aperture of our business. We have tremendous innovation capabilities, and I want to make sure that those are being put to the best use for the consumer. And so that's the first. And the second is the Beyond Test Kitchen. This allows us to really open the gates on innovation in an inexpensive way and get the products to the consumer as we broaden this aperture. And so any category that we go into, you should expect us to raise the bar in terms of health and nutrition, obviously, taste and things of that nature. And I think we're capable of doing that because of the tremendous R&D capacity we built up over the last nearly 17 years. We understand plant protein and plant ingredients in a way that many, many other companies don't. And so as we look at other areas to tilt our arsenal of technology and R&D toward, I hope I'm not drinking the cool aid on this, but I think that our ability to go in there and do things that are disruptive is exciting. And lastly, over many years, we've built up a lot of innovation. So we have quite a bit of dry powder in terms of what we can go ahead and get into the market. And so this is where my comments came from that don't expect more of the same from us. We are looking to transform not only the operational base, the margin of our company but also the top line growth, and we're thinking about that creatively and aggressively. I've really enjoyed the support of the retail investors recently, been paying attention to their comments. We feel very much indebted to them for their support and for their continued commitment to Beyond, and we're looking forward to growing together with them in years to come. So with that, I'll wrap it up and talk to you guys next time. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.